Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic Fourth Quarter and Full Fiscal Year 2013 Financial Results Q&A Session [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman K. Case: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer, and Chelsea Heffernan, from our Investor Relations Department. Today, we announced our financial results for the fourth quarter and full fiscal year 2013 at approximately 4 PM Eastern. The shareholder letter discussing our financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company, as well as questions submitted to us via email at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risk and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. I'd like to turn the call over to Jason Rhode, our President and Chief Executive Officer.
Jason P. Rhode: Thank you, Thurman. Before we begin taking questions, I'd like to highlight a few of the things we discussed in our shareholder letter. Q4 revenue increased 87% year-over-year and declined 33% sequentially. Although gross margins for the quarter roughly 10 percentage points below our expectations due to the previously announced $20.7 million inventory reserve, we maintained GAAP and non-GAAP operating profit of 16% and 19%, respectively. While it is unfortunate to close the year with an inventory reserve, this should not overshadow the significant progress the company has made throughout the past fiscal year. On a year-over-year basis, FY '13 revenue grew 90%. Our GAAP operating profit increased 153% and earnings per share were up 55%. Non-GAAP operating profit increased 141% year-over-year, and non-GAAP earnings per share were up 138%. We believe the significant increase in both revenue and operating profit positions us at the high end of our peers, validating our business model and highlighting our ability to drive profitability. FY '13 was a year focused on ramping new custom products and introducing general market portable audio and energy products that we expect to fuel revenue growth and customer diversification longer term. With 1- to 2-year design cycles, we are working on projects today that are expected to contribute to growth over the next few years. We remain excited about the opportunities to increase content and add additional features for both custom and general market products in the audio and energy markets. Also, I just like to note, while we understand there's intense market interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationships. We also understand that there are questions with regard to the shareholder losses, and while we are unable to discuss pending litigation, we believe the allegations are without merit and we intend to vigorously defend ourselves. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Tore Svanberg from Stifel.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: A few questions. First of all, maybe I missed this in the shareholder letter, but what percentage was your largest customer in the quarter?
Jason P. Rhode: 85.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: 85. Very good. And just looking at your guidance for your June quarter, can you talk about the relative visibility you have towards that number? I don't know, either by backlog or the actual order book?
Jason P. Rhode: Are you referring to the guidance or referring to the percentage?
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: The guidance, for the $150 million to $170 million, the relative visibility towards that number?
Jason P. Rhode: I would say, the same visibility we typically have. We don't give a backlog percentage or any of that sort of thing, but it's a -- typically, we go into the quarter with quite a bit of our business. But -- so clearly the volatility that comes in for us in the business model we're in today, the beginning backlog is not the largest indicator of where we're going to end up. Because things are fairly volatile and moves in and out at the end of the last -- at the very end of the quarter. So we have to take a lot of things into account and try to be conservative with respect to that. But I would say, relative to the guidance and our outlook, I would say, it's quite typical of our quarters.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: That's fair. And you mentioned in your letter that your automotive business contributed to strong growth in the other audio business. Can you quantify that at this point? How big and what it is?
Jason P. Rhode: We don't break that out. It's an area that we are investing in, though. It's an area that we see as a potential for significant growth over the long term because it's entertainment systems in cars that used to be kind of relegated to the very high-end models, have migrated their way down to more entry-level models, which is, actually, interestingly enough, where the demographics of the consumers that are on the wheel are actually going to use them. Pair them with their phones and other things. So it's an area that we think benefits, not only from our traditional things, like audio converters and, potentially, DSPs, et cetera, but also, longer term, from some of the more voice interactive kind of experience, with related features that we'd like to add over long term.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: The last question, I think your cash balance is probably highest in the company's history. And then you said in your shareholder letter that you're evaluating alternative uses of cash that could enhance your market liquidity. Should we view this as -- you're now actively more looking at an M&A and acquiring some additional IP?
Jason P. Rhode: Well, we've always tried to keep an eye on what our alternatives are, we discuss that actively as a board and as a management team. But certainly, we do have a good war chest, but that said, we're very, very cautious with respect to acquisitions. We have a very good thing going, a very solid, healthy business. We have a great strategy that we believe in over the long term. If we could find the right acquisition that will help us accelerate towards that strategy, but also with the quality, property, and fit in with our culture and et cetera, we would love to act on that. So we maintain an active dialogue with various bankers out there, they've got good ideas. And then, come up with quite a few ideas of our own that we'll go chase down, but like I say, you have to be, as anybody in the industry knows, that it -- acquisitions are very, very difficult. So we're very conservative as we approach those things. But you're right, we certainly are looking for opportunities, if we can find one.
Operator: Our next question comes from the line of Vernon Essi from Needham & Company.
Vernon P. Essi - Needham & Company, LLC, Research Division: I was wondering, Jason, can you give us an update on some product initiatives, specifically, the ADC product. It sounds like you've been getting the attention of some Tier 1 suppliers out there in the handset industry. Any developments there? I guess that just started shipping recently and what should we be looking for that? Sort of as we to the exit of 2013? Are we -- would it be a reasonable proportion of audio or is it still going to be relatively minor?
Jason P. Rhode: Well, in -- overall, in total, I don't think it's going to be a huge needle mover for the company within this year, but it certainly can be a reasonable percentage of our general market audio. And frankly, that's before we've even publicly launched the product with data sheets, et cetera, on the website. So it's a -- this particular device, a multichannel A/D converter targets things like beam forming and other multi-microphone applications, primarily in the mobile space, but it's applicable to the other areas as well. And it's a really good general market product in that it's applicable across a broad range of applications, and that gets our foot in the door and the discussions happening with a whole host of folks that we might not, otherwise, be able to gear up, have anything relevant for, currently.
Vernon P. Essi - Needham & Company, LLC, Research Division: And I know you -- I mean, it's kind of a difficult question, I guess, for you to answer without breaking across any NDAs that you may be engaged, but are there opportunities that go beyond sort of this portable audio ecosystem that you see, perhaps, coming to fruition in the next couple of quarters? Or is this just sort of a -- like the model you've had, say, a couple of years ago in audio where you're just out sort of showcasing this technology and kind of fishing for an opportunity? I mean, is there any customers that you feel like you're engaged beyond that aspect or getting past that point where you feel there's going to be some unit volumes that are pretty considerable perhaps in 2014?
Jason P. Rhode: Yes. And also to be clear, I mean, we have backlog for that device today, in reasonable volume as well. I think, the bulk of the opportunities for it are in the mobile space. And as I said, there's opportunities for it, as well. And it's just kind of the tip of the iceberg, we think, in terms of enabling a voice interaction experience with all sorts of things, if you will. In this case, the product is really pretty simple and more typical of our historical catalog was it's basically an array of A/D converters, but that also can bolt up to our A/D -- sorry, to our DSPs and enable us to add additional features later. So it's an area of this whole voice interaction experience, being able to do intelligent things with someone who's speaking in a room, separate out the noise from the speaker in various, different ways. It's just a real rich field for the kind of capabilities that we have in audio.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay, And then, I'll just switch gears on the LED front. Obviously, here in the U.S., a major manufacturer launched a huge branding initiative, a lower cost bulb at the end-market level for incandescent. Lot of noise at Lightfair this week, in fact, around that product. I guess, from your perspective, what are you seeing and how is that impacting the folks you're talking to in the marketplace? And since it's sort of we're rolling over a new fiscal year, any thoughts on what the sizing might be, in terms of your growth rate, relative to fiscal '14 versus fiscal '13? Given that, I think, some of the stuff's starting to get stocked at the retail level that has -- obviously it’s getting stocked at the retail level, has your solution in it. You might have an idea of what's the sizing year-to-year?
Jason P. Rhode: Yes, we don't have a specific target for you for the year, but it has -- our revenue has grown. We expect it to continue to grow this year in LED. We're still targeting -- making a light bulb that is something we would ever want to buy, meaning it is a suitable incandescent replacement. It doesn't flicker, it dims well across the full range, works with every dimmer that you're likely to ever encounter. And those are things that differentiate us significantly from the competition. I've seen a lot of market forecasts, they all seem to point to a number that's in the billions of units over the next handful of years, 4, 5, 6 years, depending on which set of research you look at. I don't think anybody knows what percentage of that market is going to be dimmer compatible. But it seems, by the feedback were getting, that there's a lot of interest in making that percentage large, just because things like retail returns are significant issue, both for retailers and manufacturers, and it has remained elusive to come up with a really good way to stack out which lightbulbs are going to work in your house. So it seems like an easier solution. The problem for everybody involved is just make things work with everybody's dimmer. So for manufacturers that are going that route, our solution seems to be really compelling and, with a -- you saw another product released this week from us, and with that growing portfolio of devices, we're getting solutions for more and more of the different form factors that are out there. But it is a different market for us than portable audio. It is a very fragmented market in terms of SKUs. It's not so many customers that are shipping all these devices, but each of those customers have a very large number of SKUs to cover the whole space. So having a solution that works and is optimal for an A19-type bulb might be different than, say, a PAR, and is definitely different than, for example, an MR16. All of which we think we've got significant advantages that we bring to the table and all of which will help us continue to add to that pile of design wins. But it will be much more of a large number of base hits kind of a business than our portable audio.
Operator: [Operator Instructions] Our next question comes from the line of Christopher Longiaru from Sidoti.
Christopher J. Longiaru - Sidoti & Company, LLC: I'm going to piggyback on Vern's question, just with the LED market. Do you have any kind of commentary or any -- do you know how that pricing is progressing and what your expectation is for? I know it's a huge market over the next couple of years, but how that ramps, especially considering you're already shipping?
Jason P. Rhode: Yes. We've said, historically, our ASPs have been in a roughly $0.50 range. For higher value products, where we're able to add a multi-string drive capability, et cetera, we're hoping to do a little bit better than that. But you touched on a good point, that is if the market is going to grow very, very rapidly. And certainly one of the risks there is that -- is of commoditization and there's of ASPs shrinking. And the goal for us, of course, is to do same thing we've done in portable audio, which is, continue to add features and try to add an ability for our customers to decrease the overall bill of materials that doesn't necessarily come at the expense of our ASPs. So for example, the device that we released earlier this week, significantly reduces the amount of passive components and in particular, magnetics around our existing device and that sort of makes solution our more competitive and helps preserve our ASPs. But it is -- it's definitely an area that we have to keep an eye on that business and make sure that there's enough value for us to continue to add. Now longer term, the really interesting thing for us to think about, and it's something that our marketing folks and engineering guys are spending a lot of time talking with each other about, as well as, as customers and partners. These features that we've talked about in audio, such as voice interaction and other kinds of audio signal processing, beam forming, and having an ability to interact with your thing, with your stuff, certainly having the ability to interact with your network of lighting throughout your house, voice is a pretty convenient interaction ability there, and it's something that's nascent. We don't want to reinvent the clapper, but we think there's opportunity there as we move towards an era where our houses start to look more like the Jetsons or Star Trek. Where our voice interaction capabilities that we think we can bring to bear, have an opportunity in more than just portable audio and start to get to lodged in more appliance or media devices or, potentially, lighting. So it's a kind of a nascent area, it's not something that we've -- that is in the near term, but it's certainly something that we're interested in as an ability to really drive up our overall content over the long term.
Christopher J. Longiaru - Sidoti & Company, LLC: I guess, in terms of the LED market, obviously, you're already shipping to one customer. But are you working with a -- or at this point, trying to design it to several customers? Or is it similar where you're sending out the part to see if they're comfortable with it and -- or are you, at this point, working with engineers with other companies, at this point, and is your expectation that you will eventually launch with other providers?
Jason P. Rhode: Yes, we're shipping today with multiple...
Christopher J. Longiaru - Sidoti & Company, LLC: With 2, right?
Jason P. Rhode: Right. With 2, 2 that we categorize as Tier 1s, but some are -- at least one of their company as well, and there might be some other smaller guys in there. But no, we see a very broad opportunity with a broad -- really, double range of customers that are in that space. So -- no, this is much more -- we think, for the most part, this will be much more of a catalog component business.
Operator: And at this time, I'm not showing any further questions. And I would now like to turn the call back over to Chelsea Heffernan for closing -- for...
Chelsea Heffernan: Hello?
Operator: You may go ahead, Chelsea.
Chelsea Heffernan: Thank you. Thank you, operator. We will conclude the call with questions that we've received via e-mail this afternoon. Most of the questions were answered. However, we did have one that has not been addressed. How do you see revenue trending in fiscal '14?
Jason P. Rhode: So certainly, we don't give guidance for anything other than the current quarter. Following the really remarkable growth rate that we had last year, we certainly expect a more moderate year this year. Our current projections are in the flat to moderate growth. So we'll take that -- take it as it comes. It's a -- it's difficult when you start looking more than the current quarter, you have to really know exactly where we're going to be in terms of growth. We certainly see some good things coming over the course of the year. We recognize that this particular quarter is a little lower than what people are expecting from us a few weeks ago. But it's worth recognizing, we're in a very product cycle-driven business, product cycle and seasonal business, certainly, the second and third quarters are typically significantly larger than, say, the January and April quarters. So again, none of that's -- none of that's intended to be long-term guidance. As I said, it's quite difficult to look further out than the current quarter. But we certainly expect this year to be a little more moderate than -- a lot more moderate than last year. And frankly, if you look at the history that we had, a few years ago, where we had a really remarkable growth year and then followed by little more moderate growth. For those of us who actually work here, it's, in a lot of ways, fairly fortunate. Because we've got a lot of work to do to catch up, in terms of the staffing and in terms of getting -- really, our feet under us has much larger company. We're trying to build a great company for the long term and that enable -- that requires us to build a solid foundation under as we grow. And if every year grew like last year and, frankly, I think, that will be a little bit difficult to keep up with.
Chelsea Heffernan: Okay, great. That's all the questions we have. So Jason, if you want to make some comments?
Jason P. Rhode: Yes. Let me close by saying that FY '13 was a tremendous year for Cirrus Logic. We experienced substantial growth in our revenue and operating profit. Significantly expanded our footprint in portable audio and launched our new LED lighting products. We believe our financial results are directly attributable to our business model and long-term focus on pursuing our vision to be the first choice in high performance analog and mixed signal processing. If you have any questions that were not addressed, you can submit them to us via the Ask the CEO section of our investor website. I'd like to thank everyone for participating today. Goodbye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone, have a great day.